Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2020 First Quarter Results Conference Call [Operator Instructions]. As a reminder, this conference call is being recorded, and a replay will be available on Barrick's Web site later today, May 06, 2020. I would now like to turn you over to the room where Mark Bristow, Chief Executive Officer. Please go ahead, sir.
Mark Bristow: Thank you very much. And very good morning and good afternoon ladies and gentlemen. Welcome to the this presentation of our 2020 Q1 results. When I spoke to you around this time last year, I was able to report that we had made great progress towards achieving the merger's goals. The structure of the company had been made fit for its purpose of becoming a model of a modern mining business. Strong regional management teams had been installed, orebody ownership transferred back to the mines, get reduced and the balance sheet strengthened. In the past year, we have worked to further improve our operational performance. And amidst all this activity, we concluded formal value creating transactions; the historic Nevada Goldmine’s merger, which added six Tier 1 mine to our portfolio; the disposal of our stake and KCGM and the buyout of the Acacia minorities, which enabled us to settle that company’s dispute with the Tanzanian Government and take over control of its assets. In quarter one, we have combined our Massawa project with Teranga’s nearby Sabadola mine, in a deal which has already delivered significant value to all our stakeholders. The past quarter's results which were published earlier today show that we are actively building on the solid foundation laid in 2019, as we look ahead to the next phase of value creation. Please take note of the cautionary statement. For those who would like to read a little more, it is available on our Web site. The fact that this is a virtual presentation today reflects the grimiest reality of our age. The COVID-19 pandemic, which has locked many of us down, whether in our homes or at our operations or elsewhere. History will judge our governments responded to this black swan event, which dawned without warning, precipitated an extreme crisis and will have unforeseeable consequences likely to change the world forever. Speaking for Barrick, however, I can say the team responded immediately to the early signs of the crisis and therefore, we're prepared to deal with its impact on our people and our business. Comprehensive action plans were promptly rolled out at all our sites and offices in an overall strategy we call the four Ps approach. Those Ps standing for pro-activity, preparedness, prevention and perspective. While our first priorities have been to safeguard the health and safety of our workforce and communities, and to secure our logistics and supply chain, Barrick has also been engaging with our host governments, since mid-February to support their own campaigns against the pandemic. On screen are listed some of the community assistance measures we have taken. And as you can see, to-date we have contributed more than $20 million to host governments to fund the acquisition of medical supplies and facilities. Many of these countries are economically challenged and poverty, which we found out, is a global problem from Nevada to Tanzania. We hope at Barrick that our efforts will help, not only the ill but those afflicted in other ways by COVID-19. The fact that sustainability is core to Barrick's management philosophy undoubtedly prepared us to buffer the impact of the pandemic. Last month, we published our Annual Sustainability Report, which you can find online. It contains what we believe to be an industry first ESG scorecard, which rates our performance against 18 key indicators and takes accountability to a new level. We gave ourselves a B rating, which shows an improvement in overall sustainability performance and progress on many of our KPIs. It also acknowledges that there's still work to be done. We plan to update the scorecard at the end of the second quarter once some of our peers have published additional 2019 information. The health and safety of our employees is essential for the success of our business. When I spoke to you last year, I said I was not comfortable with Barrick's record on this front. But as you can see here, there has been a steady improvement since then. We plan to have all operational mines ISO certified for health and safety by the end of next year. All the mines in Barrick should also have received the environmental ISO certification later this year, that is by the end of 2020. In the meantime, there were no major environmental incidents during the past quarter. Barrick takes its stewardship of the environment very seriously. Our clean power strategy is reducing our carbon footprint substantially and we have set a target of further reducing our emissions by at least 10% in the next 10 years. Water is also a precious resource and it's conservation is high on our environmental agenda. In the first quarter, we again, increased our water reuse and recycling rate to 77%. For us at Barrick closing a mine responsibly is as important as finding new mines through exploration. The approval of the tailings retreatment project at our Golden Sunlight mine in Montana goes to the heart of this. This will reduce long-term water treatment requirements and stabilize the old open pit, while also generating revenues that will help cover the cost of rehabilitation. I have to say that after the manager, we had to take on some big legacy issues and Tanzania has added to the challenge, but we're dealing systematically with these matters. Barrick also continues to invest in its host communities. And last quarter, we spent $4.2 million over and above COVID-19 support on development projects. And now to the results. This table shows how our first quarter performance rated against our KPIs. Although, the bullets speak for themselves, I will deal with the key points in the course of this presentation. Barrick made a solid start to the year despite the impact of COVID-19 and the lockdowns, and gold production and costs were consistent with guidance for the quarter Copper costs per pound were significantly lower, demonstrating the resilience of the business against lower process. As you are aware, we placed Porgera in temporary care and maintenance in late April as a result of the government's response to our SML extension request. I'll elaborate later in the presentation, but this action has forced us to withdraw our 2020 guidance for Porgera at this time. Our revised Group guidance without Porgera is now 4.625 million ounces, while group costs guidance is unchanged. Notwithstanding these events, we remain well-positioned to achieve our revised guidance for the year given our solid start. The situation in Porgera, as you can imagine, is rapidly evolving. So we will provide further updates on our outlook in due course. As previously communicated, gold production in the second quarter is expected to be lower than the first due to mine sequencing and planned maintenance. In addition, a safe and steady revitalization of the Veladero workforce following the lifting of quarantine restrictions in Argentina will also have an impact on performance. Looking forward, production is forecasted to improve in the second half of the year inline with our plans and guidance. A good performance from all the operations ensure that the benefit of the higher gold prices was captured and delivered to the bottom line. Free cash flow increased to $438 million and net debt was reduced by a further 17% to $1.85 billion, with no significant maturities until 2033. Adjusted net earnings were $0.16 per share and the quarterly dividend underpinned by the strong balance sheet and the free cash flow outlook was maintained at $0.07 per share. I have always said, to be a world class business, you have to have a global presence. And as you can see here, Barrick is strongly represented in all the world's major gold districts outside Russia and Eastern Europe. Brownfield exploration around our existing assets last year replaced all the reserves depleted by mining, and I might add at a higher grade. And we're looking for a similar performance this year. Meanwhile, our generative teams are looking further afield for our next tier one and tier two discoveries. And we also have extending your horizons to Saudi Arabia, Japan, as well as Asia and the Pacific Rim. So we start our tour of the operations in Nevada, which we regard as our value foundation. Carlin is the largest of our Nevada operations and led by a strong management team, we rank this mine would rank as an impressive standalone mining company. Production at Carlin was slightly lower than quarter four given scheduled autoclave maintenance and lower roaster throughput of Carlin ore as higher grade Cortez ore displaced the relatively lower grade Carlin ore in the feed mix for the roasters. Total cash costs were in line with the previous quarter. And I might add, the Carlin trend is the most active exploration area in Barrick's portfolio and has real potential to continue replacing the gold we mine well into the future. The Goldrush project has now been integrated with the Cortez mining complex with the deep south underground development is on track to start contributing to production towards the end of the third quarter of this year. Although, the all feed grade compared to last quarter was slightly lower, our cost control efforts led to a 10% decrease in total cash cost per ounce compared to the prior quarter. And of course, Fourmile continues to offer further potential for life of mine extensions, even though there's not yet included in the Nevada gold mine’s portfolio. For the Turquoise Ridge complex, integrating the two teams, as well as geological models across the two legacy operations, is key to unlocking the full potential of this tier one facility. This is still a work in progress, but moving in the right direction, I might add. In the meantime, construction of the Turquoise Ridge third shaft continues on schedule and within budget. Another key project that will unlock value from the higher grade underground resources. Among the smaller Nevada mines, Phoenix had a particularly good quarter, increasing production and reducing costs. Long Canyon where permitting for the pit expansion continues posted lower production but costs were well contained. Nevada is probably the world's most prolific gold district and accordingly, there is enormous upside within Nevada gold mine’s portfolio. I've already mentioned Cortez deep south and Turquoise Ridge third shaft. But in addition to these, the final feasibility study on the Goldrush project is on track, while drilling at Fourmile continues to expand the mineralization. At Carlin, we are focused on Greater Leeville, that is the area to the north of the current Leeville underground operations and surrounding area. At Turquoise Ridge, the integrated geological model is showing us that between and below the Turquoise region and Twin Creeks ore bodies, our favourable host drops, which are surprisingly under explored and where tier one potential remains at depth. Mineral resource management and exploration at the existing mines are focused on optimizing their mining plans and extending their ore bodies, and the exploration teams are hunting for more tier one assets. So staying with Fourmile for a bit, we already have a substantial mineral inventory at Fourmile and we believe there potential for a lot more. As you can see on this slide, an oscillated hole 900 meters north of Dorothy, points to additional extensions to what is already a significant mineral system. Also shown here are some very exciting results from drilling waste of Fourmile. Our focus is to continue with our drilling program and at defining the full potential of the area and to build the district scale framework. At the same time, our mineral resource teams are in full drilling to establish continuity and get better stope definition. We are also in the process of permitting the conversion of Nevada gold mine’s coal-fired TSF power plants to a dual fuel system, which will allow it to produce power from natural gas. We expect the permit to be approved later this year with the goal of commissioning in the second quarter of 2022. The conversion will enable the facility to reduce carbon emissions by as much as 50%, that's roughly 650,000 tonnes of CO2 emissions saved per year. We are also progressing with a new solar project at the TSF power plant. We intent to permits a 200 megawatt facility, although phase one will be for 400 megawatts. Permits are expected to be received between quarter three of this year and the first quarter next year, and the initial 100 megawatts of power will reduce our greenhouse gas emissions by a further 130,000 tonnes per year of CO2. Moving up north into Canada. Hemlo continues on its path to potential tier two status, after we put in a new management team and change the way it operated last year. Among other things, it has moved to an underground contract mining model and the open pit operation will end in the second half of this year. Since we restructured Hemlo, its performance has proved significantly as you can see here. But operationally, it still has further to go to deliver the efficiencies and throughput to become a true tier two operation. Through taking a fresh and disciplined approach to understanding the orebody and controls to mineralization, we are now looking at extending its lap beyond 10 years, as well as reevaluating the potential of the whole Hemlo district. This is an overview of our North American assets. The numbers speak for themselves. And it's worth noting that Goldrush and Fourmile will ensure that Cortez, Carlin and Turquoise Ridge maintains its tier one status well into the future. There's been a big drive to review the regional geology and accordingly, several framework drilling programs are underway to fill in gaps, in our knowledge, open up usage areas and pave the way for targeting and defining mineral inventories. This has also included taking a fresh look at our closure portfolio. I've already discussed a new approach to Golden Sunlight through tailings retreatment and another example is the value being uncovered by our partners at Eskay Creek in British Columbia. So moving south now to the Dominican Republic where the Pueblo Viejo management team is doing an outstanding job as the mine prepares for the expansion project. Production for the quarter was lower than the prior quarter due to the planned mine and processing sequence. Despite the level of production, costs were very well contained. We expect production to be lower in the second quarter due to annual maintenance schedules and then pick up to within guidance by the end of the year. Incidentally, PV was the first of our mines to cooperate with the government on COVID-19 rapid screening tests. The plant expansion engineering design and costing were completed during the quarter. The current El Llagal tailings storage facility has capacity for the expanded production until 2028. So the program for the plant expansion can now progress independently of the TSF 3 program. A combination of COVID-19 and postponement of the presidential election in the Dominican Republic to July has delayed the TSF 3 permitting process and we are working with the government, as well as the political opposition to bring the program back on track. The picture for your information in this slide is the Quisqueya power plant, which has been successfully converted to natural gas, another major contribution to the reduction in our greenhouse gas emissions. Veladero had a very challenging into the quarter, mainly because of the way the Argentine government responded to COVID-19, first by shutting down the mining industry and then allowing it to reopen, but this time with restrictions due to social distancing. We expect two more tough quarters and production for the year is likely to be at the lower end of guidance for this operation. Veladero's projects, including the power transmission line, Phase 6 pad expansion and air strip construction, were ramped down due to the camp occupancy limitations imposed by the government during the COVID-19 outbreak. The commissioning of the power line has now been postponed from mid 2020 to the end of this year, and the Phase 6 commissioning is postponed by three months. Staying in South America, the El Indio trend, which runs along the Andes and includes Veladero and our Pascua-Lama project, is rich in potential for major gold and copper discoveries. Now that we have a full exploration team for that region, we have embarked on an extensive compilation of legacy data to generate new ideas. At Veladero itself, indications are that satellite deposits could extend its life beyond the current tenures. And this is an overview of our Latin American footprint, which you can see both a mineral inventory approaching 100 million ounces of gold and ownership of some of the largest undeveloped assets in the region. We continue to believe in the prospectivity of this ground and hence our focused expiration effort in this region. In Papua New Guinea, as you know, the government's recent response to our engagement towards the extension of the SML came as a surprise. Consequently, we were forced to place the mine on care and maintenance. Last week, we filed a lawsuit in the PNG court, seeking to quash the government's decision. We received a preliminary order that directed the government to cooperate with our efforts to secure and protect the mine, and also directed the government to engage in negotiations with us to attempt to resolve the matter. So now over to my old hunting grounds in Africa. Starting at Loulo-Gounkoto, where throughput and recovery were up and production, while slightly behind the previous quarter, was still ahead of plan. Development of the complex’s of third underground mine at Gounkoto is scheduled to start in the fourth quarter of this year. Meanwhile, the initial five megawatts of capacity of Barrick's first solar power plant in Africa has been installed, but its commissioning will have to wait for the arrival of currently locked down contractors, with the remainder of the 20 megawatt capacity still to be completed by the end of September this year. In the DRC, Kibali came out of the blocks strongly, increasing production and reducing costs and is on track for another good year. We have now installed and commissioned the best battery storage needed to reduce the number of diesel generators required as spinning reserve. Ongoing brownfields and greenfields exploration opportunities also bode well for the mine to replaces its reserve depletion again this year. And production at Tongon and Kalgoorlie remained on plan at lower unit costs, and this mine is on track to meet its guidance for the year. The mine continues to be a significant cash contributor to all its stakeholders, and exploration to extend its lot beyond the current two years is continuing. West Africa remains another exciting place to hunt for gold. New Loulo-Gounkoto continues to live to deliver new opportunities to add resources and reserves, and an interesting target has been identified at far of the north. In the Bambadji joint venture, modeling has highlighted new styles of mineralization, suggesting the existence of a perspective new corridor along the prolific Senegal Mali shear zone. And in Tanzania, we've made enormous progress since we established the Twiga joint venture in January, bolstering our partnership with government. North Mara has successfully transitioned from contractor mining to owner mining. Export of the concentrates previously suspended by the government when it was in dispute with Acacia has begun and will be recognized in net income starting in quarter two. In Tanzania, we have now settled most of the key issues between Acacia and the government. However, we still have to deal with some legacy issues that the company left in its wake. I'm confident we'll resolve these. And in the meantime, our initial observations have made us feel quite bullish about resource extensions and new targets around the mine. Elsewhere in Tanzania, Bulyanhulu has sufficient tailings material to keep the plant running while we progress to restart underground mining there on plan later this year. And Buzwagi is also processing stockpiles. And it's interesting that we have discovered some potential new resource opportunities, which are currently being evaluated at Buzwagi. Following the incorporation of Tanzania, we have stepped up our exploration in the highly prospective Central and East African regions where we now have a strong presence. While its early days, we’ve identified some exciting opportunities, and all I can say is watch the space. As Randgold's track record showed, Africa is a place where one can discover major gold deposits and convert them into world class mines, while at the same time making a difference for the better in countries challenged by underdevelopment. We have a strong asset base and two tier one mines there. And while Africa is itself still has vast potential, we're also looking further north for growth. We already have a foothold in Saudi Arabia and we're looking closely at the Nubian-Arabian shield, which while perspective has thus far only delivered one significant gold mine in the form of this Sukari gold mine in Egypt. In our copper portfolio, Lumwana and Jabal Sayid, both increased production and reduced costs. Notably at Jabal exploration has been very promising and we have intersected very high grade mineralization from step out drilling that point to mine life extensions. Production at Zaldivar was impacted by lower grades and recoveries. Operated by our partner, Antofagasta, the development of Zaldivar’s secondary sulphide leaching project has been temporarily delayed by COVID-19 movement restrictions. Whilst maintaining a very strong operational performance is important to us across the Barrick Group, we continue to look to how we can add more value to our operations and innovation, and technology plays a key role in this. Work has continued on our set enterprise resource planning system, global rollout where the first deployment will begin across the Nevada gold mining group during quarter three as planned. Despite COVID-19 challenges, we remain on track for completion of this large set rollout project by year end, and we then plan that the other regions will follow during 2021. This more streamlined and standardized global design will further improve our ability to report real time cost and efficiency data and more importantly manage on real time information. We also continued our digital innovation in our underground mines, including projects where we can now remotely monitor in real time and machines, location, productivity and health, as well as that of operators, increasing our efficiencies and predictive maintenance capabilities. Being already quite advanced in our underground automation, we are now focusing our attention on surface mining with haulage drilling projects advancing throughout the quarter. Our surface haulage proof of concept, which will allow both manned and unmanned operations within the same zone, was successfully completed this quarter. In the quarter, we also embarked on our first trials of battery powered electric underground equipment, which we believe has the potential to lower operating costs and increase efficiencies. Similarly, our team at Yalea underground helped develop a system that automatically turn secondary fans on and off by using personal RFID tracking systems, which will help in reducing power consumption. This project is now being implemented across Africa underground mines. We've touched on the micro grid stabilization at Kibali, and are seeing significant benefits in our advanced process control systems in our milling and processing circuits. By using these real time data and model predictive control to rapidly optimize the circuits, we can increase throughput and reduce reagent usage. Along with this year’s annual report as promised, we published what we believe to be an industry first 10 year gold production plan, which you can see here. I will point out that we have left Porgera in the forecast, but with its contributions shaded a different color given that the asset is currently in care and maintenance. What makes us different to our peers is that our 10 year plan is both on our portfolio of tier one strategic and embedded projects, of which all post plus 10 year life of mine plans except for Tongon. Consequently, our business has a standout value foundation that does not require new Greenfields builds or discoveries to support our 10 year plan, giving our investors the comfort they require to invest for the long term. It goes without saying that any discoveries or acquisitions will add to our value proposition. In line with our mission, we have both the quality and management and the financial bench strength to continue to generate value for all our stakeholders, and to provide Barrick with the free cash flow to invest in its own future. Ladies and gentlemen, I end as usual with the share price performance comparison. Barrick’s mantra is that the best assets combined with the best people will deliver the best returns, and this is one way of measuring that. In the year-to-date, Barrick's share price has increased by 45%. And if we measured from the time of the Randgold merger announcement, it is substantially more, outpacing both the industry and the gold price. I thank you for your attention. And I do have most of our senior executives on the call with me. And so with that, we would be delighted to take any questions you might post.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. Our first question comes from Chris Terry of Deutsche Bank. Please go ahead.
Chris Terry: Hi Mark and team, a couple of questions from me. I'll just split them out individually. But just starting with the first one around cash flow and CapEx for the year to come. I guess a number of companies so far have been cutting their CapEx saying that they've got less essential workers on site. And I guess in the context of Porgera and also the power plant, I think you mentioned around Veladero. Just wondered if you could comment a little bit more on where do the CapEx is likely to come in. And then maybe one just in terms of the working capital, as you've stopped up sites ahead of COVID et cetera, whether there's any considerations for 2Q and then the back half of the year on that side. That's my first question. Thanks.
Mark Bristow: So I'll a start off, I’ll pass on to Graham if I miss anything. There are some rescheduling requirements in Veladero as you pointed out. We all focused on trying to achieve all our capital spend across the group. And although, we’ve delayed both the number six expansion as well as the power line, we still will get a lot of that done if not all of it done this year. On the airstrip, we are as we speak, getting working to try and mobilize that team to ensure that we get that strip in place before the winter starts. And the reason being that, it's got to make us our ability to re-mobilize and get those other capital projects up and running as soon as we can, and make it more efficient once the spring arrives. Nevada is pretty much on track with its key projects. Porgera, there wasn't a big capital spend forecast for Porgera, because everyone was waiting for the SML extension outcome. And the rest of Africa is on track with all its key projects, as I said, the shaft at Turquoise Ridge and the development at Goldrush are all on track. Hemlo, we are busy working at the moment with the authorities to ensure that the new underground contract can be mobilized and takeover the previous contract as agreed to continue. And so we are managing that arrival of some of the core Australian supervisors and skills to be able to affect that transition. So we still see ourselves maintaining our capital guidance. Although, there's probably some scheduling of that expenditure that will bring us closer sort of more to the bottom of the guidance than the top of the guidance. But rest assured, we are all working really hard to ensure that our investments stay on track. Graham, you want to add to that?
Graham Shuttleworth: I think it's fairly comprehensive. The only point I would make is, in Nevada we have seen a slight increase in our capital. One of those projects being the solar power that Mark talked about in the presentation. So, that's something new that we bought into the mix. But as Mark says, when you look at the overall picture, we're still very comfortable with the guidance that we gave at the start of the year. And as things progress, we'll refine that number throughout the year.
Mark Bristow: On cash flow, Chris. Just on the cash flow. I mean, as you know, cash flows got a lot of upward pressures about because of the gold price and that's our big focus. We kept the dividend as it was. We are comfortable where we are. We are very comfortable with our liquidity and our forecasts. And so I think we're in good shape to ensure that we can deliver on our plans. And in addition take any opportunities that we might be able to unlock during this time to further grow our business.
Graham Shuttleworth: Yes, so just on the working capital. Just to add to that. It is a bit higher than the previous quarter. We do tend to see an increase in working capital in the first quarter. And if you look back to the corresponding quarter last year, you all have see a similar increase in working capital. It is in part due to the timing of payments that we accrued during the year and then make in the first quarter for example, employee incentives. We also made an installment payment to EPRA in Argentina, on the power line. So there were a few unusuals that pushed it a little bit higher but it is normal for this time of the year.
Mark Bristow: And finally, Chris, on building the inventory, you have so many questions. But on the inventory, as you know, very quickly Riaan and his team across the group move to increase our inventory of consumables and fast moving items to three months and more. But he's equally got a plan to bring that down at the end of the year. So that's a part of our working capital that we'll actively manage.
Chris Terry: And just a follow-up if I may, in terms of Pueblo Viejo, you went through some of the different details there with the election, et cetera. Can you just remind us on the current plans in the expansion, sort of timeline you'd envisage potentially for the mill expansion? Thanks.
Mark Bristow: So, we are progressing with the mill expansion as planned. We are busy with the ordering of the long lead items. And we have completed the feasibility of the actual plant expansion. And as I pointed out that’s now, there's a gap developing between that and the TSF permitting process. But again, we have support, bipartisan support on this project. What we need to do is get into the field and complete the initial work and the consultation, community involvement and engagement, which has been sort of prevented to as at this stage. We've got a little bit more engineering work to do on fatal flaw investigations. We're pretty comfortable of the answer but we need to do that work. But other than that, we're in good shape to be able to ensure that we have that storage facility in place when we require it, which is post 2024, I believe. John Steele, are you on the call?
John Steele: Current commissioning is planned for early 2022 of the plant expansion. And as Mark mentioned, we've got TSF capacity in El Llagal, take us way up into 2028. So that's not a bottleneck for us before the project can proceed.
Mark Bristow: And we had intended if feasible on the current program to commission TSF 3 from 2024. But a delay in that program won’t impact the overall expansion.
Operator: Our next question comes from Matthew Murphy of Barclays. Please go ahead.
Matthew Murphy: I had some questions just on the sensitivity of your guidance to the oil price primarily, I guess, also 4x, but you've still got $65 oil in there. Just wondering if you have an idea of sensitivity to that, or to diesel prices, or any kind of metrics you can share?
Mark Bristow: So Matt, again, there's swings and roundabouts. So the way we've looked at it is that this COVID challenge has certainly created some additional expenses in our business. At the same time, we've benefited from a lower oil price. Some of the the impacts are dampened, particularly in Africa where the oil price is much more structured and it doesn't pass through to the consumer as quickly as you see in parts of North America. But as a broad number, $10 on oil is about $8 per ounce, just as a broad number. Remember our utilization of hydrocarbons is quite different, some natural gas, some diesel, some heavy fuel. But as a rule of thumb, that's about the number.
Matthew Murphy: And then also just a quick one on the disclosure on this tax claim. I'm wondering if you see this at all related to the mine needs for new ore is it a totally separate issue?
Mark Bristow: So Matt, it's very complex situation. I don’t if you've had a chance to read the order from the judge last Friday, but included in that was a very clear instruction for us to refrain from commenting over this process, while we try to focus on finding a mutually acceptable solution on a go forward basis. And so it would be inappropriate for me to sort of comment on that question if you don't mind.
Matthew Murphy: I mean maybe I can just ask on that court. I guess your next hearing is May 8th. Can you make any comment about like, is there a potential to see a resolution at that time, or is it kind of a preliminary hearing to see how things are coming along?
Mark Bristow: Well, all I can say, as know what I me, I'm very committed to finding solutions and spent my entire career working towards ensuring we have constructive partnerships with our stakeholders. And there's no difference in that commitment when it comes to Papua New Guinea. And the order was very clear for us to engage in a committed way to working to find a solution. And he also indicated that should it not be possible for us to do so he would be minded to a point a court appointed arbitrator to ensure that we do come to a solution.
Operator: Our next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: Mark, I was going to ask if you've actually engaged with government, but I guess we'll leave that on the side of PNG. In terms of capital allocation, you are generating a lot of free cash flow now, and I expect you will going forward. One of your competitors suggested that in their view on free cash flow, 50% would go back into the business and 50% would be returned to shareholders. Is that a framework that you'd agree with or something that Barrack would pursue?
Mark Bristow: So Greg, as you know, I've never been one to try and copy somebody else, and I have no intention of starting. We avoid work to present something that's different and trustworthy. Where Barrick has come from, it's been an amazing voyage. If you look back 2015 at $12 billion today, we can boast as having the strongest balance sheet in the industry, the mining industry. And so we've guided our dividend policy against the 1,200 long-term gold process. Given the situation that we face today and the unprecedented scenario that is ahead of us, it's good practice. We believe, our Board believes as well that we maintain our dividends, and because we know we can afford them. We also ensure that we have the financial muscle to get through this challenge and also pursue other opportunities, value opportunities should they arise in this very dynamic environment. And then as I've indicated before, it's very clearly our objective to get to a point where we will move away from a dividend policy that's supported by the robustness of our P&L to a more standard style dividend policy, maybe along the lines that we used in Randgold where we agree to pay out certain of our cash flow falling provisions for our long-term business investment, and balancing always whether we are able to at perform the market on value creation. And certainly, everything points to a stronger gold price, certainly more upside than downside. And adding to that, the sort of full cost reduction and new gold supply, every indication is that maybe we have to review that policy earlier rather than later going forward. But I think right now we're all clear that a strong balance sheet independence of capital markets financially is a good place to be in the situation we find ourselves today.
Operator: Our next question comes from Josh Wolfson of RBC Capital Markets. Please go ahead.
Josh Wolfson: Just a question on Tanzania, with regards to sort of final resolution to sell the inventory and pay the outstanding payments. What deliverables are still required, what's the timelines should add? And then from an accounting perspective, however you’re going to see that flow through the statements?
Mark Bristow: So Josh, all has done and dusted as we speak, the shipments are happening, where we've got a lot of concentrate to ship. We've already received some of the payments. So that's how far it is. We've indicated that you'll see most of that revenue come through, in quarter two. Depending on the actual final logistics, some of it might come out in early quarter three. But there's nothing left to do except to ensure that that concentrate arrives at the port and is delivered to the processing facilities through our agents. So that's really where we are and there's nothing else left. It's all done.
Graham Shuttleworth: So just to add to that, Josh, on the accounting side. The ounces were obviously produced back in 2017. so when you look at it as it comes through in the second quarter, there will obviously be a disconnect between sales and production because there will be higher sales than production. The cost of that inventory again is sitting on our balance sheet, so as we sell that gold we’ll bring to that cost. And the proceeds of that sales will obviously go to the individual operations. And then those proceeds will be shared amongst the shareholders in the 84%, 16% split. That said, of course we have our 50-50 sharing arrangement. So at the end of the day, everything will be trued up based on that 50-50 sharing going forward.
Mark Bristow: And I’d just add to that. Josh, the first $100 million will be the first payment in the $300 million settlement agreement.
Graham Shuttleworth: And again just to remind you that that $300 million has already been accrued for. So it won't impact our earnings, it'll only impact our cash flow.
Josh Wolfson: And that’s in operating related item, just to clarify.
Graham Shuttleworth: What's in operating related option?
Josh Wolfson: Just cash flow from operations item for the payment for the tax payment to the government?
Graham Shuttleworth: It's a tax payment.
Operator: Our next question comes from Carrie Smith of Haywood Securities. Please go ahead.
Carrie Smith: Mark, could you just tell me how you're dealing with testing for COVID at the sites for asymptomatic employees who don't show any signs?
Mark Bristow: So, we are not at this stage. Right now what we've done, Carrie, is I think the most important thing and something that people didn't get right I think right in the beginning is education, preparedness and screening. Screening being temperature screening, making sure that everybody falls in a self-assessment form before leaving for work in the morning. And then immediately responding to any risk factors, whether it's high temperature or any type of symptoms through isolation and immediate tracing and further isolation and then testing. And that's the way we've managed it. And so far we haven't had any confirmed transmissions within our operations. We certainly had staff that have been tested positive. At the same time, we have embarked on a big program of rapid test kits. The first country to work with us in partnership was the Dominican Republic. And we've certainly developed and are constantly refining our protocol of how we use that. And ultimately, that kit is going to be an important test to measure the sort of immunity, the herd immunity going forward. We have we have also done with in partnership with the rest of the industry, a big project that's being rolled out at the moment in Argentina. The test kits in Peru have also started to be rolled out. We are in Africa, Riaan and the team are working with our host countries on that. We have North America plentiful supply of proper DMA or PMR tests. And again, I think we'll keep refining the way we we manage our employees on the sites. But that's the approach we've taken. I think we've been a lot more effective in managing the pandemic and keeping our people visible and the disease visible, rather than this temptation to lock it all away and then you don't see the actual impacts of it. And the team, I must say, the Barrick teams have done an amazingly good job. And maybe I can ask Catherine just to explain to you some of the steps and the way her and the team managed the situation in Nevada, which is really a good example in a large scale of how the rest of Barrick has approached this crisis. Catherine?
Catherine Raw: So if I just Carrie’s questions directly, the way we've used the screening that we've been doing, has been to minimize risk whether people are symptomatic or not to. So to give you a sense of the scale of this, there are 7,000 employees within Nevada gold mines and significantly more if you include contractors, anyone coming to site. First of all, there's a single point of entry now and they’re screened. They’re screened with a questionnaire that asks whether they're experiencing symptoms, whether they've been in contact with anyone with symptoms, or whether they've been to anywhere. As a start, whether they’ve traveled to any location where COVID was significant risk. What that allowed us to do was then to isolate people that were flagging on the questionnaire, whether they had symptoms or not. And so what we saw is that over the last sort of month and a half or eight weeks now, we've had a total of 593 employees off work for an average of seven days, either because they've been sent home based on the screening with the 113 of those they've self selected, because they have recognized their own risk, either because they are immunodeficient or for some other reason, or they've had symptoms or they've been caring for someone with symptoms. So in total and the other one, of course, is a very small minority who've been affected by the fact that their kids are not in school. So in total, 593 or for an average of seven days. But what's more important and I think this is significant, of those 593, 495 are now back at work 83% have returned to work. So what we've seen is the real impact of this was in the first sort of three or four weeks, really over the end of March and in April. And we're beginning now to move into a more, I wouldn't say normal environment but normalized environment. That means that when we do have a positive case, we've had seven confirmed positive cases to-date in NGM. We're able to contact trace all of the people that they have been in contact with. We've minimized batches to the extent as possible to minimize risk. We then self isolate those people. They are then either tested or stay in quarantine until 14 days are up or tested and they’re negative, and then they're able to return to work. So that's the process that has allowed us to take into account those asymptomatic individuals as well as those with symptoms.
Operator: Our next question comes from Carrie Macquarie of Canaccord Genuity. Please go ahead. 
Carrie Macquarie: Maybe just a bigger picture question, looking at your 10 year plan. It's 5 million ounces for 10 years. I think you're peer has a similar flat production profile for 10 years. Just wondering your thoughts on why this business isn't scalable? Like is it possible to grow production accretively or is flat sort of the new normal once it gets in their size?
Mark Bristow: So Carrie, if you looking at that graph, there's a couple of glaringly obvious points. One is for the first five years, we bring down the costs that increase the cash flow and I assume you've modeled that, both in the form of capital to proper sustainable capital, because what you’re referring to is a sustaining business, not a growing business and then the costs are coming down. And then within margin, we expect that to continue on the back five. And again, if you want to compare us, there is no comparison, because we don't have to bold out to anything. So there's no massive peak in capital. In fact, the capital that we referred to in the presentation today really sets us up for the rest of the 10 years. And the big ones are PV and Dominican Republic, the shaft and a turquoise Ridge. But the others are all genuine sustaining capital, even Goldrush is just a continuation of development to deliver more ounces. And I think that's the standout in the Barrick 10 year plan, built on of course tier one assets, which mean that you've got significant production for more than 10 years in your business plan based on $1,200 long-term gold price. And so when you look at this business, it's a genuine business where the growth is then in financial delivery, in profits depending on the gold price that you received. Now over and above that, we spending $170 odd million a year in exploration. And as you've seen just in the last 15 months, we not shy on creating M&A opportunities that deliver real value. And so that's the difference is this is not a sustaining business or a business that you refer to as a consistent production. It's a solid foundation on which to continue to go of value creating opportunities for our owners. And I think that’s -- hopefully you get it now, because you’re definitely missing something. And again, there's nothing in this plan that we can’t take you to and show you. So there's no soon to be discovered ounces. There might be some ounces that we need to change the definition, take out some of the risks. But it's already in the plan and accessible from current infrastructure or infrastructure that we all committed to invest during the next four or five years.
Carrie Macquarie: I guess what I'm saying is Randgold, you were able to grow production over a long period of time. There seems to be a view in the industry that once you hit 5 million ounces, 5 million ounces is what it's going to be. It can't be a 6 or 7. I know it's not about just production, it's about [Multiple Speakers] possible to grow…
Mark Bristow: This is based on what we've got today. It's not based on any. So there's no recognized benefit for the $1.6 billion we got invest in exploration in the next 10 years. And so as a basis to build a business, this is a standout business. This is exactly where we got to in Randgold, where you and other, when we plateaued and we said now we are in a stage where we are able to throw out returns and replace the gold we are mining in a long-term sustainable fashion, everyone said where's your growth. Until we did the deal with Barrick and then suddenly everyone realized when you look back at how Randgold delivered that value, the first part was of course increase in reserves and increase in production, but at the same time that came with a capital spend to deliver that. And then you get to a point where you start really delivering real value for the shareholders, and Randgold in a time where the industry destroyed value continued to grow it's dividends for 13 years in a raw and performed in the market despite the ups and downs of the gold price at a level of total shareholder return that ranked it in the top 100 value creators of all listed stocks globally. So that's what we are doing as rebuilding a world class business, capable of competing in the public markets and delivering the returns and value that one would expect, plus offering the insurance that we've all witnessed in the last nine, 10 weeks. And I might add since 2008, it's just that some of the management teams didn't deliver that big opportunity back to the shareholders post the 2012 peak. But certainly, now we have an industry that's a lot more disciplined and we've seen that industry ready to live up to it to that gold insurance that mine is in times of crisis like we're experiencing.
Operator: Our next question comes from Tanya Jakusconek of ScotiaBank. Please go ahead.
Tanya Jakusconek: Mark, Graham, maybe can you just talk about some of the cost impacts that you're seeing in the business, because of this COVID and maybe some of the opportunities on the other side?
Mark Bristow: So Tanya, I'll kick off. Of course you heard earlier, one of the biggest opportunities is the oil price. At the same time, our costs really are -- some of the costs are working capital costs, because we've expanded our inventory to ensure that we have the ability to manage any supply chain interruptions. We've definitely got opportunities on tightening up on our contracts as some of this supply, because the mining industry has common consumables and not all the mining industry, global mine industry, is in the same place at the moment as far as robust performance goes. And so there's a lot of things which for us at Barrick is a normal course of business. We're always focusing on tightening our costs, making sure our contracts are fair and appropriate given the market conditions. We've still got significant opportunities to continue to improve our operational efficiency just because we started with a fairly lazy organization back last year. And we've shown a lot of progress but we still got more to go. The work that Graham and his team are doing on making sure that we have a fully integrated data system, financial business system that enables our managers to make real time decisions within the shift. Those are things that are all going to continue to help us become more and more competitive in driving our EBITDA margin. And even if you look at today's results compared to our quarter one results last year, our EBITDA margin is significantly higher than it was just 12 months ago. So we're obsessed about efficiency, cost focus, making sure that we are businesses focused on profitability and cash flow. And so, the COVID situation what it has offered to us is that, as you know, there was some apprehension on whether we could introduce the Randgold flat integrated management model. We did that. We've worked hard at it with the regional executive teams. And this corona challenge has definitely honed our management skills and forced and fast tracked our ability to be agile and integrated in the way we run things. And it's proved that this model, this modern model of making that you don't have this corporate tower of authority, sitting somewhere far away from your operations, is the right way to go. And so if there is anything that I would say, this has helped us or taught us is really that honing our ability to manage in a more modern and agile way. And on top of that, our HR team is really focused on making sure that our employment strategy is shifted to younger people, more diverse employees coming from the countries in which we operate in. And again, in the fullness of time, you'll see the impact of that.
Tanya Jakusconek: But if I understand it correctly, when you said that you improve on your productivity is one aspect of it, and the second maybe cutting costs on the contractor side. Would that be a fair statement?
Mark Bristow: Yes, exactly. I mean, there's lots of opportunities. We've already taken out I think Riaan and his team have just in Nevada taken out about $115 million just in contract efficiencies, just renegotiating contracts. And there's a lot more that we can do. South America, we've done a lot but there's still more to do. And I think as we build relationships with our contractors, I mean that's another big thing about this COVID challenge is you already see who your partners are. And we will definitely work on strengthening those positive partnerships and changing those less committed partnerships that we have in our organization.
Tanya Jakusconek: And maybe just for Graham. Is it fair to assume that any additional cost from this COVID from the social distancing and things that may take longer to do and additional cost there are more than offset by the $25 per ounce improvement from your fuel price?
Graham Shuttleworth: Well, I think Tanya, as you heard Mark say, right at the beginning of their conversation, and we were reluctant to get into promising that big reduction, because we are mindful that we're also dealing with the inefficiencies associated with COVID and those inefficiencies are not insignificant. As you say, social distancing and not being able to move staff around you used to. So possibly having inefficiency in your staffing, not being able to transport goods the way you used to do it, so having to contract different types of freight. There's many multiple touch points which impact your efficiency. So whilst we've been able to overcome the restrictions that have been put in place, they do come with a cost. And that's why we are reluctant to sort of put that number out there and say, this is what you should expect. I mean, that number is a theoretical calculation. And again, as Mark indicated quite often when you see such a sharp drop in the dollar oil price, it doesn't always pull through to the litre of diesel price. So trying to get too theoretical about it isn't that useful. What we rather try to point to is that we've had some swings and roundabouts. And on the whole, we're comfortable with the guidance that we set out with at the start of the year.
Tanya Jakusconek: And is it difficult to say to assume, just from a currency standpoint, Graham, that about 70% of your costs are U.S. dollar denominated, so only 30% without exposure to Canadian, euro and others, and it would have less of an impact on $1 per ounce than your fuel?
Graham Shuttleworth: I wouldn't say it was even as much as 30%, we really are predominantly a dollar-based organization. And even in places where we incur costs in local currency, for example, fuel. The underlying driver that is a dollar based, it's a dollar-base underlying product. So you know, I wouldn't put it as much as that I would say it would be lower than that probably less than 20% would be FX.
Operator: Our next question comes from Kip Keen of S&P Global . Please go ahead. Our next question comes from Helen Reid of Reuters News. Please go ahead.
Helen Reid: Mark, I just have a question about Grasberg. Is that mine something that you're still actively looking at? How does COVID-19 change the M&A picture? And secondly, I'm not sure whether you saw, but the Trump administration is drafting a legal blueprint for mining on the moon. Is that something that's on the cards for Barrick?
Mark Bristow: Helen, we don’t plan to go to the Moon right now, not as a gold miners and copper miners really. On Grasberg, I think it's very clear what I've said before. And I would just add that, this world today, our mining industry needs reshaping, reinvention, revitalization and definitely modernization. And so you know, I would say that this is a great opportunity to reposition ourselves as miners. I think what we've seen in these COVID challenge is the real contribution that mining gives to its host countries. And across the board, it's been absolutely impressive at the work and the outreach that mining has brought to an otherwise -- miners are, it's our business we manage prices and challenges every day. And I've seen and witnessed the impact that miners have made across the globe, particularly in the emerging markets. And so I think it's time for us as a mining industry to stand up and share and advertise the partnerships that we do bold, and the difference that we make and the value we create across the world and I think it can be done better. And so, we've seen the first -- I mean, since the Barrack brand gold deal, there's been a number of deals that have really consolidated the industry, particularly in the gold space. We've seen recent deals, at the beginning part of this COVID and which are closing now that are sort of necessity driven deals. And I've got no doubt that we will continue to see transactions that make sense in this environment, because the impact of this scenario is real. And out of these sort of black swan events, you always have a paradigm shift. And so in my view, what you've seen is a sudden drive towards the E part of ESG on the back of the start of the democratic engagement in the U. S. presidential elections, which is now sort of calm down as you've got one candidate. But straight out of that and there is -- this COVID has highlighted the gap in this global business family of ours in the form of our attention to social engagement and responsibility, governance issues and most importantly, something I've always talked about is poverty. And you know there's definitely every reason to believe that the world is going to be a different place going forward, and we as miners are going to have to make sure that we stay relevant in this very dynamic environment. And with that, I'm convinced it’s going to bring significant opportunities. And I do believe that, as I stated in my presentation, Barrick has a standout executive and operational team, capable of unlocking real value. And they have that very strong financial platform on which to make acquisitions and pursue opportunities. And embedded in that is tier one quality portfolio that ensures that we are a long-term business that allows our shareholders to invest with -the visibility, the sort of runway visibility of our future ability to continue to deliver value. So, all those sorts of things are going to drive I believe a dynamic M&A environment and it's going to be up to us as managers, whether we ensure that we continue to take up these challenges and consolidate this industry and deliver real value to our owners, all like we did in 2012 not do the right things and end up looking back at a lost opportunity and a lot of value destruction.
Operator: There are no further questions from the conference call. I would like to hand the call back over to Mr. Bristow for closing remarks.
Mark Bristow: Well, ladies and gentlemen, thank you very much for making the time to join us today. I look forward, you don't know how much I forward to seeing all of you again, and we're working hard at that. In the meantime, you can be rest assured that we are all very focused on continuing to deliver on that very strong foundation we built in 2019. I urge you all to be safe and practice that social distancing. And look forward to the next time we meet. Thank you very much.
Operator: This concludes today's conference. Should you have additional questions, please contact the Barrick Investor Relations department. You may now disconnect your lines. Thank you for participating and have a pleasant day.